Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries’ Third Quarter 2016 Results Conference Call. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, November 3, 2016. I will now turn the conference over to Martin Schwartz, President and CEO. Please go ahead.
Martin Schwartz: Okay, thank you. Good afternoon and welcome to Dorel’s third quarter earnings call. With me are Jeffrey Schwartz, Dorel’s CFO and Frank Rana, VP of Finance. We’ll be pleased to take your questions following our initial comments and a reminder that all numbers are in U.S. dollars. We are very pleased with the quarter as we have seen improvement in all segments, despite a combination of industry issues. The progress achieved during the first nine months has bolstered our financial position. Dorel Home Furnishings had one of its best quarters ever and again with the period’s top performer with continued strong growth in the internet and dropship vendor channels. All divisions contributed to the gains in revenue and operating profit. The move into a much larger warehouse and distribution center near Savannah, Georgia is not complete, which provides a necessary space to efficiently handle the e-commerce growth. There were some short-term incremental costs during the quarter because of this move and we expect those costs to be much less in the fourth quarter. The segment attended the High Point Furniture Show and several new products are featured. Retailers were impressed with the quality and breadth of the new ready-to-assemble offerings from Ameriwood. Additional new collections and ultra furniture as well as used furniture were also showcased. We are most encouraged with the overall reaction. And the upcoming Black Friday and Cyber Week period is generally a very strong one for our home furnishing business. And we expect this year to be no different. Dorel Juvenile was front and center at the annual September Cologne Juvenile Product Show, the most important such event of the year. We capitalized on this important event to unveil several new products. We also attended the ABC Juvenile Show last month in Las Vegas. Our large booth at Cologne was one of the busiest with a constant flow of retailers. We are extremely receptive to our new product lineups. Several new items across various platforms were introduced. Among the new products launched during the third quarter were the Maxi-Cosi, a Dorel travel system in the United States to be rolled out next year in all markets and additions to the Quinny Rachel Zoe collection as well as the new infant car seat and travel system for Brazil and Chile. The Safety 1st Grow and Go and continuum convertible car seats continue to drive strong growth in the U.S. and Canada and will also be introduced in Latin America next year. We have ramped up our product offerings in all lines with enhanced comfort and fashion features, which have increasingly become key factors in the purchasing decision. We are pursuing various opportunities across Dorel Juvenile to drive improve long-term performance with a focus on new product developments, speed to market and funding for brand support. Well, at the same time, improvement in process to reduce costs at all divisions. During the third quarter, we move forward on several lease objectives, but there is more work to be done. Our top focus is to get our products to market faster and we will be relentless in getting this done. In China, we are continuing to launch the production of new products, such as recently four premium stroller lines. Quality levels continue to improve. This has been a concentration since shortly after we took over the facilities. Similarly, the lean manufacturing process is underway, improving process flow and value engineering. Our new state-of-the-art quality lab is under construction in our facilities in Zhongshan to handle all product testing. Continued consolidation and leveraging of the supplier base in China is also providing improved cost competitiveness. In terms of domestic sales, things are on track. We are pleased with the progress to-date in the Chinese markets. Dorel Juvenile Brazil posted another strong quarter and continues to do well in a difficult environment. It is the established itself as a one of the leading if not the leading juvenile product company in Brazil. The bicycle industry continues to face challenges at different levels. Yet Dorel Sports had held its own through a combination of exciting new product intros, less discounting at CSG, lower inventory levels and price increases at Caloi as well as aggressive cost-cutting. While Brazil remains economically and politically challenged, Dorel Sports strategy has been effective and we have reduced working capital, increased cash flow and profit. The political environment there in Brazil seems to be stabilizing and the Brazilian currency is steadily strengthening showing growing confidence in the economy. Canada launched the SuperX and CAADX, two new cycle cross bikes with a revamp frame geometry and a new 2017 SuperSix EVO Hi-MOD and Carbon Disc, all received excellent media reviews and strong retailer response. In July, GT rolled out a completely overhauled 2017 BMX Freestyle line, while Schwinn unveiled the all-new Schwinn [indiscernible] at Interbike with great dealer reception. And it will launch to the consumers in Q1 2017. Our parts and accessory division, Fabric showed its 2017 line at the Eurobike, which includes a revolutionary line of lights, tools and pumps. At Pacific Cycle, the majority of their mass-market and distribution operations will be relocated from Illinois to Savannah, Georgia to better serve customers by the end of this year. Pacific Cycle had a solid quarter. Operating profits increased considerably with Schwinn’s new models and updated look. We are looking for an even better 2017. I will now turn things over to Jeffrey for the financial perspective. Jeffrey?
Jeffrey Schwartz: Thank you, Martin. Before we get into the P&L numbers, I want to highlight a few items of importance. Since the beginning of the year, we have been strongly focused on generating increased cash flows. And as a result, cash flows provided by operating activities have increased by $93.5 million to $101.4 million compared to $7.9 million last year. This is primarily done by inventory control improvements, which contributed $89 million of the $93.5 million increase. And our overall debt, less cash and cash equivalents at the end of September decreased by $42 million from December and by $89.6 million from a year ago. So, we are pretty proud of that. That was one of our focuses at the beginning of the year to reduce our leverage. And overall, our management has done a very good job there. So, as we move on to some of the P&L highlights, consolidated revenue for the quarter was down 1.2% to $671.3 million after we removed the impact of foreign exchange and the organic revenue declined by about 1.1%. Gross profit for the third quarter was 24% and included lower cost for our postretirement benefits in the U.S. of the $9.4 million amount that was recorded in Dorel Juvenile. When removing back that as well as other restructuring and other costs, the adjusted gross profit rose by 240 basis points to 23%. So, we have been working on getting our gross margin up and have been successful at that. We reported an operating profit of $29.6 million for the quarter compared to an operating loss of $9.5 million last year, excluding impairment losses, restructuring and other costs, the adjusted profit for the quarter rose by $9.3 million or 35% to $35.9 million. Finance expenses increased by $8.6 million to $10.1 million during the quarter. However, when you exclude the re-measurement of forward purchase agreement liabilities, adjusted finance expense for the quarter actually decreased by $1.3 million to $9.9 million. Interest on long-term debt for the quarter decreased by $1 million to $7.6 million due to the lower average debt through the period, which generated lower borrowing costs. Adjusted income before taxes was increased by $10.6 million. We recorded during the third quarter a net income of $15.9 million compared to a net loss of $8.8 million. However, adjusted net income for the quarter rose $5.2 million or 33.5% to $20.6 million, which represented an adjusted diluted EPS of $0.63 compared to an adjusted number of $0.48 last year. We will move over to the Juvenile, third quarter revenues declined by $14.7 million or 5.9%. After removing the impact of the bearing exchange rates and the planned reduction in third-party sales of Dorel China, organic revenue declined by approximately 0.5% for the quarter. This decline is attributable geographically to U.S. and European markets, partially offset by continued growth in the Latin American markets. Gross profit for the quarter was recorded at 33.7%. However, that included the postretirement benefit of $9.4 million. So if we exclude that, gross profit for the quarter actually rose 370 basis points to 29.7%. And that was driven by practically all of our units in Juvenile, favorable product mix, which is very important production and purchasing improvements as well as pricing, which better reflects current foreign exchange markets. Operating profit for the quarter rose by $9.6 million to $12.4 million from $2.8 million last year and again, excluding restructuring and other costs, adjusted operating profits increased by $72.6 million to $13.6 million for the quarter, driven by higher margins, cost containment, an increased savings generated by the segment’s ongoing transformation into a more fully integrated operation. And then the increase also included a positive impact of $2 million, which is really the net effect of the lower costs of the postretirement benefit of $9.4 million and that was offset by higher product liability expenses and accruals of $7.4 million. Moving over to Sports, Sports recorded a revenue decrease of $5.9 million or 15.8 – 5.9% or $15.8 million. During the quarter, Cycling Sports Group international business transformed from a licensing revenue recognition model to a distribution platform, for which the accounting treatment increases both the revenue and cost of sales, previously netted in the licensing and commission income. Excluding the revenue recognition charge and the foreign exchange variations, organic revenue fell by 10.7%. So that would be accounted for primarily by changes in the North American IBD retailers purchasing patterns, which I will talk about in a minute. Some lower volumes at Calais and probably one of the larger components is less clearance spikes that we have to sell, because our inventory is down significantly and we don’t have to sell as much clearance bikes. I am going to take a second here to try and explain a little bit more about the shift that we are seeing in North America at the IBD level. Traditionally, suppliers such as ourselves would try and sell our ship as much as 50%, 60% of a retailer’s commitment in the third and fourth quarter for the following year up every little [indiscernible] dating, so it wasn’t an issue about the receivables. We just wanted to make sure our bikes were in the stores as soon as possible. What happened last year was a lot of retailers bought a lot of bikes in the pre-season. There were some incentives to do that. And then with the discounting that occurred in the spring, they have kind of woken up this year and said, why would I want to take in such a big commitment so early, if I can wait and see if there is any discounting. So they are buying still, but they are not buying the bulk of their commitments before they need them. So we expect to see these commitments being followed up. And we are still bullish. We know we have a good product and our product is selling. But I don’t foresee this year a time when the IBDs are going to load up in stock their warehouses. They would rather ask to keep the goods in our warehouse. Having said that, we are approaching the market differently than we had in the past few years. Although we did a reduce our inventory last year, we are still going into this year with much adding more strategic inventory plan. Hopefully, what happened in the industry last year won’t happen again. I can’t speak for other suppliers, but I know that we are controlling our inventories so as not to have too much excess inventory. We did have one good sign, the last year or for January when we looked at supplier inventory according to the BPSA, in January supplier, meaning inventory like carrying the old inventory was 40% higher than the previous year. By the end of September now of this year, that number has dropped to 20% less than last year. So we are seeing that the supplier’s inventory position is in a much better state than it was last year at this time. So like I said, we are hopeful that we are going to get back to a proper level and if the rest of the industry does the same, we should get back to having a proper balance between supply and demand, which I think is what this industry needs. Going back to the numbers now, gross profit for the quarter rose 160 basis points in Sports to 20.7%. When we removed the impact of the revenue recognition as well as restructuring and other costs, the adjusted margins increased to 22.8%, mainly driven by price increases, particularly at Calais. Pacific Cycle’s logistic efficiencies, if you remember last year, we had a lot of issues as we moved warehouses, didn’t have that this year and less discounting at CSG, as we have much better inventory levels. Overall, Dorel’s operating profit rose $26 million to $5.8 million, but the adjusted profit increased to just a gain of less than 1% to $10.9 million, when we exclude all the restructuring and stuff. We are happy, it’s not where we want to be, but it’s the first quarter that we haven’t been below the previous year and a little bit of a time period there. So we think we are making progress. We are moving towards I believe getting growth back into this sector. On the home furnishings side again, double-digit revenue growth of 13.6% to $188 million for the quarter. All the divisions recorded increased revenue versus last year as a result from the strong online sales representing 44% of our segment sales compared to 37% last year. Sales through the brick-and-mortar channel were flat during the quarter, so all the growth came from our online retailers. Gross profit increased by 340 basis points during the quarter driven by all divisions as improved margins were attained through the e-commerce distribution. And all divisions also contributed to a substantial operating profit growth of 55% for the quarter, mainly due to again, e-commerce sales with improved margins. So with that, I will pass it back to Martin.
Martin Schwartz: Okay. Thank you, Jeffrey. In terms of the balance of this year, things are basically unchanged from the second quarter, led by Home Furnishings, which should improve operating profit by 50% from last year. The momentum of the segment’s positive performance will continue, although the pace will slow somewhat in Q4 compared to prior quarters. The turnaround in Juvenile from last year is on track. And as stated after Q2, we expect the year to finish well with improved adjusted earnings in the second half. Q3 was better than originally expected. So our expectations aren’t that the fourth quarter will be similar to last year. At Dorel Sports as Jeffrey mentioned, we are expecting a change in the IBD retailers purchasing patterns with Q4 orders moving into first quarter of 2017. Therefore, we expect a reduction in second half CSG shipments this year, which should manifest into year-over-year growth in the first half of 2017. For this Sports segment overall, we believe the positive trends on adjusted operating profit will continue in the fourth quarter, which will result in improved earnings compared to last year’s fourth quarter. I will now ask the operator to open the lines for questions. And as always, please limit your questions to two on the first round. Operator, please?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Eric Beder from Wunderlich Securities. Your line is open.
Eric Beder: Good afternoon, excuse me. Congratulations on a solid Q3.
Martin Schwartz: Thank you.
Eric Beder: When you look out in the bicycle segment, you guys have done a lot in terms of improving the product and really kind of segmenting it. Where do you think that the growth starts to normalize here and we can get back to even stronger margins than we had before?
Martin Schwartz: Yes, I mean, that’s actually our focus. I believe, we are uncertain – we are still in an uncertain period in the marketplace. This isn’t a strong bicycle market by any stretch. We are going to focus internally on, I think I have said it before it’s the difference between the standard gross margin and the actual gross margin. There is too much money left on the table by us by having, let’s say, inefficient operations, quality issues, timing, I mean, just all the internal operating stuff that we could improve getting our product to our customers faster and better. And that’s where our focus is and that’s where we think we can get a lot of margin back into the company by doing that. In addition, of course, great products and we are going to try and get more market share and we hope that there is a turnaround in the different markets. When we say the market is down in the bikes that might be overall, but certain categories are actually growing. And those are the categories that we are focused on a little bit more than the other categories. So, we are optimistic going forward. There is opportunities for us to increase our earnings in the segment. Because they are not really – from our point of view they are not acceptable where they are today. And we have got plans to increase them, which doesn’t necessarily mean we need to have the industry come back to do it.
Eric Beder: Okay. And in terms of the China factor, I know it keeps on getting better and better. How is that becoming more and more integrated with your plans and where can we see that going, going forward? Is that the opportunity to take on, for example, other peoples do some of the outsourced work for other people also with that?
Martin Schwartz: Yes, I mean we do still. We do other people’s stuff. We take it very seriously. We are looking to do more and more directly to consumers – not to consumer, sorry, directly to customers that buy non-branded products, OEM stuff from retailers. You don’t see a lot of that in the U.S., I think maybe for product liability reasons. But around the world, there are a lot of retailers that would just want umbrella stroller at a certain price and they don’t care about the brands. We want to be one of the places that could do that. So, there is a focus on that as well. The domestic Chinese market, we are focused on that as well. So, there is a lot of opportunities and the key to better earnings there is just growing up that factory. So, that’s over the next couple of years, that’s our priority to fill the factory.
Eric Beder: Okay, thank you.
Operator: Your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good afternoon. I just wanted to circle around on the juvenile gross margin was quite strong in the quarter. And I just want to get a sense as to what the driver really was of that strength in gross margin and what we should expect in terms of a sustainable level going forward? And it looks like you have – now have sort of two quarters of good gross margin growth under your belt?
Jeffrey Schwartz: Well, it is our focus. It partially explains a little bit of the weakness on the top line as well where we are exiting some products that just don’t make sense anymore and pushing to make better, higher priced – higher margin products. And we are having some success in that area. So yes, I mean, again, the true number is 29.7% for the quarter. That’s the sort of number that we look to have a sustainable number at this volume level. So again, it continues to – the key element is going to be the right products at the right prices. And we have had some success lately at some mid to higher price point items and that’s I think leading to the gross margin. As well as pretty good management on the cost side as well, so.
Stephen MacLeod: Okay, that’s great. And then sticking with the juvenile business, what would be – you said organic revenue, excluding FX and reductions in third-party sales were down 0.5%. But what would organic revenue be if you didn’t exclude the planned third-party reductions in China?
Jeffrey Schwartz: We are checking on that and down 5.4.
Stephen MacLeod: Down 5.4. Okay, that’s great. And then just finally on the sports business, I don’t know Jeffrey, you sort of talked a little bit about the revenue recognition change. But – do you expect that it results in like – so we should see that come back in Q1 or H1 is that the way to think about it?
Jeffrey Schwartz: Well, it’s going to continue to go forward. So it’s going to increase our sales and cost of goods sold, it has no real impact on earnings.
Stephen MacLeod: Okay. Just pretty neutral then.
Jeffrey Schwartz: Yes.
Stephen MacLeod: Yes, okay. Okay, that’s great. Thank you.
Operator: Your next question comes from the line of Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Alright, thanks. Just on the juvenile side, can you maybe talk about the competitive intensity in both in the U.S. and EU. Is kind of the overall market growing how and there have been kind of share change hands here, why you are kind of going from or shifting to more higher margin sale product. Can you maybe comment on that?
Martin Schwartz: I mean, the market is very competitive. I think it’s better than it has been in the last few years. I think if you look at, in general, juvenile companies that report numbers, you are going to see improvements in earnings. And so I think overall it’s in a good space. We are seeing people stepping up a little bit in price, particularly in the U.S., it is – we as well as other people are able to sell more products. That’s likely higher prices. So, I think the market is in a good place, difficult. There are winners and losers. There is no question. And we have categories that we have become getting substantial gain and categories that we are losing a bit too. So from a market share standpoint, we have – I still focus on product, if we can – we have a few winners now in the marketplace and if we continue to focus on bringing winners to the market, I think we are going to see some nice market share gains in the next year or so.
Sabahat Khan: Alright, thanks. And just looking at the home furnishing segment obviously is coming off a couple of years of strong growth. Given the runway on the e-commerce side, do you see this level of growth being sustainable over the next couple of years, another 1 or 2 years? How do you think about that business over kind of the next 2 to 4 years if you are looking out?
Martin Schwartz: We are pretty excited, because although we are not going to predict the future of the internet growth of e-commerce. I think we all believe it’s going to continue to grow. We are changing our model a little bit to really become a distribution platform for a number of products. And we have been doing that over the last few years as you know we would talk about this segment as being like an RTA furniture company or a futon company. But today, we are doing mattresses. We are doing outdoor furniture. We are doing a lot of product through our distribution network. If you want to call it back, the physical logistics of what we do is I think second to none. And going forward, you are going to see us in more and more categories. So I think the opportunity to continue to grow is there for a while. As long as we protect our ability to be among the best logistics players in the market, which is what I think we are. How we do that is bring products to our customers at a good price and be able to get it to their customers at a quick pace and have the quality in there and have the whole package of delivering good products to our customer’s customer quickly at a good price is our secret. So we are going to continue to expand on that.
Sabahat Khan: And if one last one, have you been able to just on that kind of platform comment, have you been able to maybe leverage some of this technology into your Juvenile or Sports segments at all or is there a thought process to do that?
Martin Schwartz: Absolutely, I mean that happens every day. I mean we are – I mean in fact, our new warehouse for Pacific Cycle is going next to the warehouse in Savannah, Georgia, where the Home Furnishing works. So we will start to use some of their knowledge and expertise in systems to enhance that as well. So it’s a little bit of a different items, I mean Home Furnishings tend to be something people like to shop for online, bikes less so for various different reasons. So I don’t think we are ever going to see the same thing happening in bikes that we see on Home Furnishings, but nevertheless, we are using what we know to enhance our ability to deliver.
Sabahat Khan: Thank you.
Operator: Your next question comes from the line of Ben [indiscernible] with Canaccord Genuity. Your line is open.
Unidentified Analyst: Hey. It’s Ben on the line for Derek Dley. Just a quick follow-up question on the Laredo facility, could you comment on what percentage of Laredo factory products are third-party brands and what’s internal to Dorel?
Jeffrey Schwartz: I mean it’s finally because there is a third category, right. There is a category of products that go right to retailer, which is not a competitor. So we have the majority of the products, more than 50% of the products are Dorel products. I am not going to give you the exact breakdown, but the bulk of it, more than 50% is ours and then there is the other two categories.
Unidentified Analyst: And would you plan on taking that in 2017?
Martin Schwartz: Well, we will see. I mean I have no problem if we can grow all the categories then I am happy with that percentage. It’s not a percentage we are working on. We have capacity still. We want to continue to fill our capacity, so it doesn’t matter to us really where – which of the three categories the order is coming on. Obviously, we would like to see our own orders, meaning that our business is picking up. But it’s not a priority of choosing one over the other.
Unidentified Analyst: Alright. Thank you.
Operator: Your next question comes from line of Anthony Zicha with Scotiabank. Please go ahead.
Anthony Zicha: Yes. Hi, good afternoon. Jeff, can you provide us some color on the North American bike market, can you comment on your market share and the competitive landscape, what’s selling and what’s not selling and what’s happening in the IBD channel, are bikes from $2,000 and up still selling well and how is that compared to last year?
Jeffrey Schwartz: I don’t have any market information for you. Overall, we are seeing a reduction of high end bikes. I don’t know, but I am going to say which price point, but certainly, over $5,000, there is less of those bikes being sold in the marketplace, particularly less road bikes right now. Road bikes seem to be down, mountain bikes seem to be up a little bit. We have had a big focus on not just building great road bikes, which we continue to do and that’s our franchise, but we have done pretty well in the last 12 months on sub-$1,000 bikes and we want to have a full line. So if people shift down to commuter bikes, we have a great offering there. And I think that’s allowed us – even though the numbers don’t show, we have had a lot of successes in the marketplace, where some of our bikes are selling double-digit increases over the last year, because we paid attention to different pricing categories. So the marketplace is a little upside down to actually look too heavy at statistics and market share. I would say, in the last 12 months, market share has been driven maybe by the deal and who has been able to buy what at what price. So I think it’s a little this started to get through market should numbers. Hopefully like I said, next year hopefully, the balance between supply and demand is better. And we can really truly see who has got the right market shares in the right place.
Anthony Zicha: Okay. Thank you, Jeff.
Operator: Okay. Thank you. Your next question comes from the line of Derek Lessard with TD Securities. You may go ahead.
Derek Lessard: Yes. Thanks. Good afternoon guys. Maybe Jeffrey, coming back to selling bikes online, I mean there has been a few announcements of some bike manufacturers going direct to consumer, one more recently, although it’s a smaller brand, just wondering have you guys had the discussion internally around some of these strategies?
Martin Schwartz: Yes. Well, we have two strategies. One, you can buy Schwinn bikes on walmart.com. You can buy bikes on amazon.com that we sell. So that level of those price points on bikes we are embracing. And I think that part of the market is working. We have made a conscious decision not to go direct to consumers. It’s a difficult path. We know there has been successes in various places around the world where people are buying bikes online, but overall I don’t think the strategy that we particularly in the Cannondale brand we want to embrace. And I am not sure how effective it is in other parts of the market. Like I said, some countries that they embrace it, other countries hasn’t gone too well. I am talking more about the bike itself. There is part of the bike industry that is doing very well online. I think apparel does well online. I think some parts of accessories does well online. But actual bikes in many markets does not do that well online. So we are not going to go down that path right now.
Derek Lessard: Okay. Thanks for that color guys. And just maybe just wondering if you can add some color into how the lower – I guess the organic growth in the IBD is tied to last clearance bikes, just don’t quite understand that?
Martin Schwartz: No, the margin – well, the lower – sales are down 2 points. Sales are down, because we are selling less clearance than we did last year. So that would be one point. The other point is our margin is up, because we are selling less clearance. Those are the two impact points of the less clearance.
Derek Lessard: Okay. And maybe just one final one for me just is there any seasonality to home furnishing business, I guess I am just trying to get a better sense of the revenue growth I mean it’s kind of all over the place there?
Martin Schwartz: Yes. It’s a good question. I mean one of the big seasons is back-to-school, back-to-college. But Derek it’s shipped sometimes in June and sometimes it get shipped in July. So that’s why you do see sometimes a balance between Q2 and Q3. The other season obviously is going to be a Christmas season. And again, it could be shipped in September, it could be shipped in October. So again, you have got moments between Q3 and Q4 there, so overall, difficult. But it’s fairly stable.
Derek Lessard: Okay. Thank you, guys.
Martin Schwartz: If you have seen moment over the years, I think that probably describes the bulk of the movement.
Derek Lessard: Thanks Jeffery.
Operator: Your next question comes from the line of Frederic Tremblay from National Bank Financial. Please go ahead.
Frederic Tremblay: Thanks. Good afternoon. You mentioned solid progress on the inventory front, just wondering if you could go through maybe each segment and provide some more color in terms of if you see additional work to do there, in terms of the inventory what’s your comfort level in each of the segments, please?
Jeffrey Schwartz: I mean we are not – I am not going to give out the inventory of any particular segment. I mean, we are doing extremely well on the Home Furnishings side, very, very good use of capital. The bike business has made, they were the worst and they have made the best progress. So that’s where we needed the most out. On the Juvenile business, it’s okay. Certainly, as a Manager, you can say we can always make more progress and I believe that. But overall, we have taken a big chunk out and now there are some smaller gains to be made, but we are at a good level now, which I think is already sustainable.
Frederic Tremblay: Okay, thank you. And just given the changing purchasing patterns in the IBD, you are still calling for improved earnings in Q4 for the bike segment. Just wondering if you could maybe provide an additional detail on what you think the main driver of that would be, would that be...
Martin Schwartz: The main driver I believe is going to be, if we take a look at last year, sales were pretty strong. We had a great – I mean, great Q4. Margins, however, were not that strong. A lot of that had to do with again, lot of clear-out bikes. And even I think some promotions to get our bikes into the marketplace before the end of the year, which we have chosen not to do. We don’t have as much inventory to worry about. So, we believe, again, keeping the balanced approach to the market, having the bikes ready and having not moving our prices around too much higher. So, I think that’s going to get more stable margin and therefore allow us to beat last year, without necessarily having the top line growing.
Frederic Tremblay: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Alright, thanks. Just had one follow-up as you continue to pay down debt, what are your thoughts on potential return on capital shareholders or uses for that cash float towards investment purposes? Any commentary on that would be great.
Jeffrey Schwartz: Yes, I would love to finish the year and see where we finished the year out. But certainly, that’s a good topic for 2017. Right now, our focus, even though we have achieved a lot of or a lot close to our goals than we were before, I still to finish the year before we address potential changes that we might look at.
Sabahat Khan: Thank you.
Operator: Mr. Schwartz, there are no further questions at this time. Please continue.
Martin Schwartz: Well, I want to thank all of you for joining us today. It’s been a most satisfying quarter and an encouraging 9-month period. We are pleased with the considerable improvements in our balance sheet. And on behalf of senior management, I wish to thank our teams both here and worldwide for their efforts in realizing this progress. Thank you all again and have a good afternoon.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines now.